Operator: Good evening, everyone. Welcome to the online telephone call of Xiaomi 2024. For this session, they will be recorded. [Operator Instructions] I'll now hand the conference over to the host today, Ms. Anita Chan, Head of IR and Corporate Finance. Please go ahead.
Anita Chan: Good evening, ladies and gentlemen. Welcome to the Investor Conference Call and Audio Webcast hosted by Xiaomi Corporation regarding the company's 2024 Annual Results. Before we start the call, we would like to remind you that this call may include forward-looking statements, which are underlined by a number of risks and uncertainties and may not be realized in the future for various reasons. Information about general market conditions comes from a variety of sources outside of Xiaomi. This presentation also contains some unaudited non-IFRS financial measures that should be conditioned in addition to, but not as a substitute for the company's financials prepared in accordance with the IFRS. Joining us today, we have Mr. Lu, President of Xiaomi; Mr. Alain Lam, CFO. To start, Mr. Lu will share strategic and business updates of the company. Thereafter, Mr. Lam will review the company's financial performance of 2024. Following on, we'll move on to the Q&A session. So we now pass the floor to Mr. Lu.
Lu Weibing: Thank you, everyone. Welcome you all to our session today. For 2024, this has been a milestone year for Xiaomi. Under the guidance of human car and home strategy, we have stepped onto the fast track of growth with our mobile phone, automobile, IoT, and other businesses advancing in parallel. We have initially completed the business boot of the development and we have seen great visibility and controllability of our operations through management reforms. Tonight, I would like to share the three main aspects and number one to review and summarize the core achievements; second, the changes in financial capability building and over the past five years; number three, look ahead to our strategic development for operational, for a period in the future. In 2024, Xiaomi Group returned to a high speed of growth with both annual revenue and net profit reaching new historical highs. The group's total revenue reached JPY365.9 billion, a year-on-year increase of 35%. Adjusted net profit reached JPY27.2 billion, year-on-year increase of 41%. For Xiaomi, this has been able to open up Xiaomi's third growth curve just nine months after the release of Xiaomi SU7. For the first nine months, we have seen a total of 248,000 units. What surprised us is even that today, one year after the release of the Xiaomi SU7, we still see the monthly new locked-in orders of volume continue to grow. The performance of a mobile phone has significantly outperformed the market as a whole and in 2024, Xiaomi's mobile phone shipments increased by more than 15% year-on-year with the fastest growth of the top five manufacturers. And shipment ranking has remained in the top three globally for 18 consecutive quarters of global market share increased by 1 percentage point year-on-year to 13.8%. Our premiumization we have seen major breakthroughs. The price range is now in 4,000 to 6,000 IoT business and our Air business have seen greater growth and for our tablets has increased by more than 70%. Wearable wristband products are ranked second in the world with a market share of 15.2%. Major home appliance business increased by more than 55% year-on-year. IoT business also continued to play the role of a profit stabilizer. Annual gross profit margin increased significantly by 3.9 percentage points year-over-year to 20.3%. Behind these achievements, it is inseparable from our unremitting efforts in capability building and improvement over the past few years. In terms of our awareness: first, there is a shift in the business philosophy. In 2022, we first proposed emphasizing both scale and profit and the business philosophy has gradually shifted from the previous scale first to the pursuit of long-term and sustainable high-quality growth. In 2023, we clarified the overall strategy of Human, Car and Home and decomposed the implementation parts of the overall strategy into six subcategories including the high-end strategy, industrial capability leadership strategy, AIOS, and the new retail strategies. Under the guidance of this goal, we adhere to building the companies through technology and continue to increase investment in underlying research and development. Our R&D investment in 2024 was JPY24.1 billion. In the research and development investment, 2025 is expected to reach JPY30 billion. R&D have built a solid product power barrier for us through the strict selection of millions of netizens and evaluations. We have seen that Xiaomi SU7 received widespread good reviews in terms of quality, safety, range, and intelligence. In addition, SU7 Ultra prototype set a global speed record for four-door cars on the Nuremberg in Germany. Over the past five years, we have further deeply realized our high-end development, and in 2020 our market share in the price range of JPY4,000 to JPY6,000 in mobile phone was 5.6%. 2024 this figure has risen to 16.8%, that is tripling within five years. At the end of the last time we -- last month, we released two masterpieces of high-end explorations; Xiaomi 15 Ultra and Xiaomi SU7 Ultra, both achieved outstanding performance beyond expectation. Xiaomi SU7 Ultra, with a starting price of JPY529,900, exceeded 10,000 locked-in orders in less than three days. Going forward, our goal is to promote a high-end development across all product categories. This means that we not only need to continue to break through in the scale in the price range of the JPY6,000 for mobile phones, but also expand our high-end strategy from the fields of mobile phones and automobiles. Complementary to the high-end strategy is our new retail strategy. By end of 2024, we have established approximately 15,000 Xiaomi Home stores and 200 automobile sales stores in the China mainland market. Our market share for mobile in China has increased from 5.2% in 2020 to 10.3% in 2024, achieving doubling of growth. 2024, we successfully expanded the new retail model from 3C to automotive business field. This year, our target is to realize and add a further 5,000 more stores in China and build 20,000 Xiaomi home stores. In the future, we will continue to further expand the capability foundation of our human, car and home and in addition to build 500 overseas stores in the overseas market and further expanding to 10,000 Xiaomi home store overseas. Finally, in terms of management reform over the past five years, we have systematically built multiple internal process management systems and we have used the DSTE system to decode the strategic plan and align the internal goals of the company, introduce IPD process to achieve value creation and stable output of a popular product and use the IPMS to achieve internal coordination and value realization to build a transparent collective decision-making mechanism and improve the operation and decision making system by establishing systems such as the operation management committee. For the past five years Xiaomi has always been committed to increasing research and development investment, promoting high-end strategy and a new retail layout for the past few years. We have been looking at a precisely concentrated manifestation of a capability build over the past five years. And these accumulations will lay a solid foundation for the future. At this very important juncture, we are in a very important turning point. First of all, hardcore technology is the core proposition for the next decade will continue to increase the intensity of technological innovation, build a long-term technological mode to become a global leader in the new generation of hardcore technology. AI technology in the various terminal products, AI technology has always penetrated into all our business. In the future, we will use AI to reconstruct the underlying hyper OS, aiming to complete the evolution of an AI OS within two to three years and comprehensively improve the user experience. Second, we are looking at high-end development across all product categories at the same meantime. We also steadily promote the optimization and upgrading of the organization and management system, continuously exploring the incremental dividends for future management reforms. Finally, I would like to reiterate the success of Xiaomi Automobile and other businesses have once again proven the strength and universality of Xiaomi model and Xiaomi methodology that is continuously creating popular products that exceed user expectations through accurate user insights and high intensity R&D investment. 2025, we have already embarked on a new journey. We believe that with the steady advancement of various strategies, as well as continuous technological innovation and management reforms. Xiaomi will move towards a higher stage of development. The future of Xiaomi is full of infinite possibilities and imagination. I now give the floor to our CFO, Alain.
Alain Lam: Thank you, Mr. Lu. Dear investors, good evening. As Mr. Lu has shared with you all in 2024 under the guidance of human, car and home strategy, we stepped onto the faster track of growth. In 2024, our total revenue reached JPY365.9 billion, a new historical high. Our revenue increased both year-on-year and quarter-on-quarter. Each quarter of the year. In the fourth quarter, our revenue exceeded RMB100 billion mark for the first time reaching RMB109 billion with a year-on-year growth of 48.8%, which was the fastest growth since the third quarter of 2024. Our comprehensive growth profit margin for the year was 20.9%, showing a stable performance. In 2024, the revenue of our mobile phone and AIoT segment was RMB333.2 billion, a year-on-year increase of 22.9%. The gross profit margin was 21.2%, remaining the same as in 2023. Now let's take a look at the detailed situation of the sub-business segment. Number one on smartphone. For 2024, the revenue of the year was RMB191.8 billion, accounting for 52.4% of the total revenue with a year-on-year growth of 21.8%, the revenue in the fourth quarter was JPY51.3 billion year-on-year increase of 16%. In 2024, our global smartphone shipments were 168.5 million units year-on-year increase of 15.7%. According to Canalys data, in 2024, our global smartphone shipments firmly ranks third with a market share of 13.8%. And our annual smartphone market share ranked among the top three in 56 markets around the world. In 2024, despite the impact of component prices on mobile phones. Our gross margin remained relatively healthy with an annual gross profit margin of 12.6%. In the fourth quarter, the gross profit margin rebounded from 11.7% in the third quarter to 12%. In addition, our annual mobile phone ASP reached a new historical high of RMB1,138. Our high-end strategy has achieved remarkable results. And the product strength has been continuously improved. According to third-party data in 2024, in the Chinese market, the proportion of our high-end smartphones in the overall smartphone shipment reached 23.3%, a year-on-year increase of 3 percentage points. Among them, the market share of smartphone enterprise range of 4,000 to 5,000 reached 24.3% year-on-year increase of a 0.2 percentage points ranking first. IoT area for this year, we had excellent performance both in terms of revenue and the gross profit margin. In 2024, the revenue of our IoT and consumer products continue to grow at a high speed, exceeding RMB100 billion mark for the first time throughout the year, increasing by 30% year-on-year to RMB104.1 billion, benefiting from increasing the proportion of in-house R&D and enhancing product strength. Gross profit margin for the year reached 20.3%, a new historical high. A year-on-year increase of 3.9 percentage points. From the perspective of product categories, our car IoT categories continued to contribute profits, whilst maintaining a strong growth trend. This year, the smart home appliance business performed outstandingly with the shipment of smart home appliance increased by 47.4% year-on-year. The tablet product continued to grow at a high speed ranking fifth globally this year, with shipment increasing by more than 73% year-on-year. Our wearable devices also maintained a high speed growth and remained in a leading position in the industry. For instance, our wearable wristband devices ranked second globally and in China, and our shipment of TWS earphones ranked first in China. Number three, internet services, we continue to expand our user base. In December 2024, our global monthly active user number exceeded 700 million, a year-on-year increase of 9.5%. Among them, the multi-active user number in the Chinese Mainland reached 173 million, a year-on-year increase of 11.1%. In the fourth quarter of 2024, the revenue of our Internet services business exceeded JPY9 billion for the first time in a single quarter, reaching JPY9.3 billion. In 2024, the revenue of our Internet services business was RMB34.1 billion, a new historical high year-on-year increase of 13.33%. Gross profit margin also performed well in 2024. The internet gross profit margin increased by 2.5 percentage point year-on-year to 76.6%. The advertising business continued to join the growth of the Internet business with the revenue for the year being RMB24.7 billion in terms of overseas Internet business. The revenue for the year increased by 30% year-on-year to RMB11 billion, accounting for 32.2% of the overall Internet services revenue. Now moving on our Smart EVs, 2024, the revenue for the whole year was RMB32.8 billion, accounting for 9% of the total revenue. Among them, the sales revenue of the Smart EV was RMB32.1 billion and the revenue from other related business was JPY700 million with a comprehensive gross profit margin of 18.5%. In 2024, Xiaomi SU7 series were delivered with a total of 136,854 new cars with an average unit price of RMB234,479. The Smart EV and other innovative business incurred a loss of JPY6.2 billion, narrowing by 7.1% year-on-year. In 2025, we will fully focus on increasing production capability and plan to launch the YU7 in the middle of the year aiming to deliver 350,000 new cars throughout the year. Making large-scale investment in underlying core technologies and striving to become a leader in the next generation is our goal for the next decade. We continue and we will be firmly investing in R&D. In 2024, our R&D expenditure reached RMB24.1 billion, an increase of 25.9%, compared with the previous year. While increasing investment in R&D, we continue to maintain our ability to control expense expenditure. In 2024, our overall operating expenses were RMB55 billion, excluding the new business investment expenses of RMB13.2 billion, the operating expense of our core business were RMB41.8 billion with an expense ratio of 12.6% year-on-year, decrease of 0.7 percentage point. In terms of net profit in 2024, the groups adjusted net profit was RMB27.2 billion, year-on-year increase of 41.3%, a new historical high. Benefiting from the higher-than-expected car growth profit margin level and high level car deliveries. The adjusted the net loss of a Smart EV and other innovative businesses for the year was RMB6.2 billion. Therefore the profit of our core business exceeded the RMB30 billion for the first time, reaching RMB33.5 billion, a year-on-year increase of 28.8%, a new historical high. We are also actively rewarding our shareholders in 2024, our cumulative share repurchase amount reached HKD3.71 billion. Finally, we are also actively fulfilling our corporate social responsibilities. 2024, we were honored as a Chinese ESG model enterprise by CCTV. This is a recognition of Xiaomi's active fulfillment, social responsibilities, and will also encourage Xiaomi to continue to be an ESG benchmark in China's technology field. In the meantime, we continue to rank in the top 2% as a one, we have a one, the Eco Vot is a sustainable development group level gold medal for the second consecutive year being to the leading level in the global industry. In the future, Xiaomi will continue to, with a high sense of social responsibility and mission, provide users with more green, intelligent, and sustainable technology products and services, so that the achievement of innovation green technologies can benefit more groups and enable everyone around the world to enjoy a good life brought by technology. In 2025, we'll continue to maintain a steady and progressive operation strategy. We look forward to better results in 2025. Thank you all. And this is what we would like to share with you for this time. And we can now move to the QA session.
Operator: Thank you, Mr. Alain. For investors, can we please go to the QA session and we now start the QA session. [Operator Instructions] The first question we have Andy from Morgan Stanley. Please welcome.
Andy Meng: Thank you, Mr. Lu and Mr. Alain. I would like to thank you for the great results that the company has achieved, whether it is a revenue or profit, we have seen a historical high. And my first question is regarding the EV, we can see that for Xiaomi's EV business, since its launch, you have seen great success for the 15 Ultra. And this has, again, shaken up the luxury car segment of above 500,000 and your new target is reaching 350,000 units for the new capacity that comes from the existing production lines by way of improving efficiency or through new production lines for the new production lines? And will this meet the demand of the ultra-line? And the second question is about your overseas expansion. We can see that Xiaomi for this year, especially for your AI business, there's a lot of action. We can also see that Mr. Lu has just come back from overseas market. Can you please share with us in terms of this area and what is your plan? What is your strategy? And how to make sure that there will be more resources allocated to overseas business?
Lu Weibing: Number one, regarding the capacity and yes indeed at the moment, we have a few different areas and for instance for the past five months and our delivery is about 20,000 units of cars continuously every month and we have also recently held a supplier conference with over 100s of them and we have said to them we hope that they can help us to ensure the supply of our products. This is also why we have been able to improve our 300,000 to 350,000 in the meantime. And we are also not simply looking at SU7 Ultra and for all the other products. And this is capacity, production capacity. And for overseas, and I myself have been overseas, and I go overseas quite a lot for my business trip for IoT and it's roughly about one-third for overseas and two-thirds for China. And actually in terms of a potential overseas market is 2 times of that of domestic market. So basically that means that there is a potential space for further growth of 4 times in the overseas market. But of course, if we are setting the OIT well, and I think that apart from our existing methods, and we have Xiaomi Home, as well as the Xiaomi Network. And Xiaomi Home is growing very fast. And Xiaomi Home stores at the moment, we have opened up the shops in many different countries. We have seen very good results. And people are also very willing to go on to Xiaomi website and to purchase our products. In addition, for this year, for Xiaomi Homes, the reason why we are expanding in the last year, we have opened in Southeast Asia with five stores. This year we went to Poland, and Poland has our first European story and we can see that this year we will continue to further put in more efforts in this area in Q2 this year, I believe that you will see in a lot of countries that there will be the first Xiaomi Home stores popping up, not only just in Southeast Asia, but also in Europe, Japan, and Korea. So I believe that the AIoT strategy is very important, and in addition, I also feel that there is a great potential in overseas market. I would also like to supplement with some data for IoT. In 2024, we have seen 30% of growth. And if you look at this for overseas growth, and it is slower than China, but we have made some progress. As we have heard, overseas has some more opportunities and for overseas market, the growth is also picking up. This is what I would like to share.
Operator: Timothy from Goldman Sachs, please.
Timothy Zhao: Thank you, Mr. Lu and Alain. I would like to congratulate you on the Q4 stellar performance. I have two questions: number one, is on AI, we can see that end of last year, the company has launched AI products and AI/OI, and the users and et cetera. We have seen various adoptions. And in addition, we can also see that AI is going to play a major role going in the future. What are your thoughts on this? And number two, in terms of AI expenditure, R&D, and expenses, what's your target, and which area are you investing in? And the third question is that for the company, you are looking at expanding your factories in Wuhan, in Phase 2, so I want to ask about this area in terms of the development of factory expansion?
Lu Weibing: Okay. I will answer the question first, and then Alain will take up the CapEx issue. So right now, I think that we are still quite far away from AI adoption, and we need another two to three years to really become the true AI/OI. And I think that a lot of the products on mobile phones, they are more about having AI features and AI functionalities, but the customers' stickiness is not that strong. In the meantime, we also see a lot of good surprises, for instance, including Xiaomi, as well as using our projector [Indiscernible] and we have seen a lot of adoption and recently for a lot of our products, and they have been able to help us resolve a lot of those issues. And I think that these are areas whereby we will see great results. And for AI and Xiaomi, this is a very important. We have three core technologies here. So I believe that AI is very important. And for this year, it's about 30 billion investment, and AI will take up about a quarter of those. In terms of the actual cash spend, it's actually going to be higher than that figure. And I think that the relevant expense items I'll have Alain to explain.
Alain Lam: If you look at the financial report for 2024, the CapEx has been included 2024 CapEx is already over 10 billion -- and 2023, the incremental portion of that is related to AI spending for 2025, we expect our CapEx will be higher than 2024. And the main incremental is related to AI and the specific figure. I'm not really in a position to disclose. For now for the relevant R&D and these are being put into our AI investment.
Timothy Zhao: Great. Thank you.
Operator: Next question, [Tina] (ph) from Citibank.
Unidentified Analyst: Management team. Can you hear me okay?
Lu Weibing: Yes. Please go ahead.
Unidentified Analyst: Thank you Mr. Lu Alain. I want to ask the national subsidies lately has driven the market a bit. And for Q4, the strong growth in the IoT sector, as well as the mobile phones some of that might be thanks to subsidies. And in Q1, for mobile phones and IoT will they both benefit from the national subsidies? In addition, apart from the demand and for the company's product structure changes and what are the things that you can have in forecast with us and to share us more on those points? And for this year, looking at cost, I think that investors pay attention to this. For the company and how do you look at the control of the expenses or perhaps there are other components and the prices looking at this year versus last year, would you say that it is stable. What is the situation? Thank you.
Lu Weibing: Well, national subsidy first, number one, for this national subsidy, it would vary depending on which category of products. So for different categories or different [Indiscernible], the impact would also vary for mobile phones, and this has started from Q1 this year. Last year, national subsidy for mobile phones is very little. So Q4, I would say that it has very little to do with the national strategies for last year. However, in terms of laptops and tablets, they do have a certain percentage impact with the national subsidy. And if we look at the growth, overall speaking, for instance, for large home appliances and we can see that if you look at tablets, if you look at laptops, et cetera, and a lot of these are actually not growing and I -- myself, I think that for national subsidies, it is the same for everyone. And however, for us, we need to look at. What is growing faster and for Xiaomi, and it is much faster than the other so for national strategies, national subsidies and it's boosting for the high-end products. And if you look at that sector for perhaps the -- some of the high-end products and the growth is slightly more than the others. And number three, for national subsidies, I have not really seen any of the devices will form a major boost to the growth loans, because of the national subsidies. And so far for DDR, whether it's DDR4 or DDR5 and perhaps for DDR5 in the short-term, we might see some impact. And again, this is because of the industry's decline for the past few years. For 2025, we will be looking at the increase of the fees of certain component and how that will impact our business. And I think that this is slightly different from 2024 and 2025. Therefore, overall speaking, I would say that in the short-term, we'll see some price volatility. But for Q2 and Q3, there will be some decreasing. So these are my questions. These are my answers to your questions.
Unidentified Analyst: Thank you.
Operator: Wen Hanjing from CITIC, please. From CICC
Wen Hanjing: Thank you. First of all, I would like to congratulate the company on your stellar performance for Q4. I have two small questions. Number one is for your automobile business, we can see that the gross margin is over 20% in addition for Automobile and the innovation business, the loss-making is also narrowing. So thinking about this as well as our YU7 launch and looking into 2025, what's the automobile gross margin, as well as when can we expect the automobile business to become profitable? My second question is on the Internet. Internet business achieved a new high, especially with advertisement? And what are the reasons behind this?
Alain Lam: For automobile business profit margin, and you can see that 20%. And in terms of trend, I would say that for 2025 and for the later on quarters, I would say that it will be toward EPO to that of Q1. The moment we are still in the heavy investment period, whether it is core technology or whether it is in our investment into the factories and intelligent driving, et cetera. So for the automobile business at the moment. So far, we do not have any very strict time line schedule. And in terms of IoT business and revenue, you can see that we have achieved a new high. Number one is our existing customers continue to grow, this is number one. Number two, on this basis, the structure of our users have also been optimized, thanks to the high-end devices, so both of these are the good foundation for the development of our IoT business. And you might say that for instance, for our advertisement is going strong. And especially for overseas, we have a very good business. And therefore, we have a very strong bargaining power with advertisement. Mr. Lu have also said that in the past one to two years in terms of margin is thanks to advertisement becoming higher and higher. And this is something that is very healthy, I would say. You can see that advertisement revenue versus the others, the gross margin is higher and which would pull up our gross margin growth. And Mr. Lu talked about the high-end, the penetration and you will see that for our ARPU and is actually improving. And for overseas ARPU is also going up. These two numbers are very healthy. So we can see that for our Internet business and the overall gross margin is increasing.
Wen Hanjing: Great and thank you.
Operator: Our next question is from CITIC, Mr. Xu Yingbo.
Xu Yingbo: Thank you and congratulate on your excellent results. Two questions. Number one is on retail network. In China, the actual expansion of your stores, what is the speed as well as the future forecast in addition. In terms of your displayed cars and what's the situation? And number two is on AI. And recently, we have heard a lot of AI agents. And in the Internet sector, we have seen its adoption. However, in IoT, I think there is some potential that the market has not yet quite recognized for instance, in terms of our Human Car Home ecosystem and how to utilize our IoT system and you utilize our Internet advantage for sales and network?
Lu Weibing: This year, we are very clear. We have a very clear point, which is that for our offline stores and we will achieve 20,000 for stores with 500 square meters above and we will have 400 of these. In the meantime, we will continue to expand our delivery center, as well as our 4S stores. And so those are very definitive and with such expansion, the benefits to Xiaomi is very obvious. So for instance, our area is bigger and our image is more premium with Xiaomi's brand power, very strong polling factors. And it means that perhaps we would be able to get cheaper rent. So those are the benefits and values we can derive from this. And however, this year, we are still very firm that if a property that is not very good, we're not going to open a store in that property. And for AI agent, its adoption in Internet and IoT. I think that for Xiaomi for our products can be used in multiple scenarios and multiple locations, multiple places and these have already built up a solid foundation for AI. And this is also why we'll continue to work hard in AI. For this year as we have heard that we will have about JPY30 billion and the cash flow gap is even bigger. So for AI, I think that we need to build the solid foundation. In addition, we also need to work on our technology, including a few of the large language models. Number four is for our products, how to combine that with the industry. From our super AI the moment, the reputation among our users is very strong.
Xu Yingbo: Thank you.
Operator: Next question, Huang Leping from Huatai. Please start your question.
Huang Leping: Thank you. I have two questions. Number one is for the large home appliance, and we can see that IoT has continued to enjoy 50% growth. And for this part, and I can see that with these market potential and a lot of that will come from larger home appliance. And what's your view on opportunities in this space versus mobile phones. And number two is that for the company's AI [Indiscernible] continue to rise for your mobile phone business. What's the reason behind this? Can this be synergized with your automobile business, we have seen some data, for instance, the success of the automobile business and is this something that will affect Xiaomi customer base?
Lu Weibing: Well, in terms of large home appliances, our target is very clear. We started including this into our operations strategy in 2023. For last year, and we have seen the delivery of technologies. And for end of this year, we will also be starting to work in this area. So these are the aspects that we are looking at for large home appliance. What we want to see is the potential room for growth is very large. And for last year for the large home appliances, it's about 5%. And this year, we'll continue to grow. And for the AC business, it is the same. And we want to rank number three for this year. We also want to become number one or number two in the next two to three years. So we do see that these areas, whether it is our products from the traditional AC technology. I think that we have already bridged the gap. But in the meantime, our advantage in the intelligence and smart sector, we are way ahead of the others. 70% of our appliance can be connected without the connections for IoT, they would not be able to realize the effect that we are able to provide. And at the moment, for instance, for human and machine interaction, these are all very important personalized products and services. So this is one example in the ACs. We have also recently launched our centralized ACs and central ACs, they are really the highlights for the highest performance of OACs. And with our launch of the Central AC our presales speed is about 5 times to 6 times of our target. So this is something that's very delightful. And we do believe that there's a lot of room for further growth in this area. And right now, we are moving overseas in Southeast Asia, we are doing very well. So for AC in this state, we have huge opportunities. I have not yet seen where the ceiling is sky is the limit. In terms of synergies between mobile phones and our ultimate bill, yes, of course, during CNY, I can give you an example, traditionally speaking, traditional cars they would only be able to sell 30%. This is the data we see. However, this time for Xiaomi during the CNY year, our sales even higher than the general normal time. Why is this? Is it because a lot of our cars are placed in shopping malls and shopping malls are the hottest destinations, during CNY people will go there to go and watch a movie and go shopping. And once they're in the mall, they will be looking at our product so you can see that. So during Chinese New Year, and this is what we have seen, the improvement. And these are some areas whereby we have done very well. And in the meantime, for Xiaomi and you can see that we have launched two ultra products at the same time. For Xiaomi Ultra they have been selling very well. And this year in the next five years in the premium and ultra-premium sector we will do very well. So Xiaomi Ultra at the moment, we have seen growth of 80% year-on-year. Again, I think that this is a classic example. So you can see the synergy, it is omni-present and our ASP of traditional products is also rising very quickly. But please rest assured, this is only the beginning of our business in the synergies sector. And in the next three to four years, this will be even greater. Let me supplement it with a few data and IoT. You asked whether that's mainly coming from home appliance for 2024 versus 2023, it has grown by 20 billion and the growth really comes from many aspects and not only just from large home and clients, but also from tablets last year, very strong, as well as wearables. And the growth I would like to emphasize is not only from large home appliance, it is one driver. However, in the other categories, so we have also seen very fast growth. So that's just one thing to supplement from my end.
Huang Leping: Great. Thank you.
Operator: Next question Zoe from UBS, please.
Zoe Xu: Thank you Mr. Lo and Mr. Alain and congratulations on your great results. One question on vehicles. We can see that with Ultra sales at the moment, the delivery time is 13 to 16 weeks. And now with the waitingness perhaps it's about 40-weeks with YU7 launch and the demand must be very high. So mid and long-term, what's your plan for capacity production? And another question is on Internet. We have heard earlier, a lot of your growth comes from advertisement, as well as the increase of ARPU, and we can also see that in Q4, it has reached a new high. So based on our understanding in Q4. Overseas is mainly overseas business and advertisement going forward in terms of the terminals will be more diversified. So is it that -- first of all, we can expect more from mobile phones. And in addition, from gaming and the other business format is that we can also see some contribution from the overseas business? Thank you. Those are my two questions.
Lu Weibing: Yes, indeed, at the moment, the biggest bottleneck is about our delivery. At the moment for our company as a whole, we are working hard ensuring the safety as well the quality of our products. And this is also a long-term goal of our business and we'll also be continuously to further expand our business. And for instance, these are things that we are looking at. For Internet, you can see that recently, it is over one-third and for our overseas number of users is also growing. So overseas business is operating normally and of course, mainly still on advertisement. And some of those are for searches and some of those are our performance gaps. But we have not yet really moved the Chinese model overseas in terms of our shipment or what our existing customers, there are more and more of those right now, it's about the growth of resources. It is not about to further expand at the moment. So it's more about the resources accumulation.
Operator: And the next question, Sharon, please.
Unidentified Analyst: Good evening Management team. Can you hear me.
Lu Weibing: Yes, please.
Unidentified Analyst: My first question is to ask Mr. Lu for this year, for mobile phone market, what’s your view, we can see that the sales number lately, we have been able to get quite a lot from the market. So what is the market overall capacity and your market share? And in Western Europe, in the past in market share, we can see some dip in the market. And what are the strategies that you have in those areas for Western Europe?
Lu Weibing: For mobile phones for this year, and we can see that overall, it's only about 1% to 3% of growth. And last year, we have been able to grow about 1% in this general backdrop of the environment. And that is also our goal to continue to grow by 1%. And I feel that we need to be looking at the scale and for Xiaomi, and we should be able to achieve a sales of JPY200 million from 2020 to 2027, and we should be able to cross that threshold. And for the other product categories and then to reach the threshold of JPY100 million, et cetera. So those are some of my views. And for the China market and perhaps there are some differences. And I think that they are still quite helpful for Western Europe, we've seen some decline in the market, and it is mainly because of our adjustment we believe that the Western Europe market, we are now intentionally actually controlling some of the sales of certain products. In the meantime, we have also further increased the sales of the mid and high range of the products. We have some products for instance, with a price of 999 as well as 4,999 in the region, they are still selling very well. Recently, in Japan, we have also had some entry-level products for sales. In terms of market share in ASP in Western Europe, you will see it picking up in the future.
Unidentified Analyst: Thank you.
Operator: One last question from Oriental Securities.
Unidentified Analyst: Good evening. I have two questions. Number one, is about the automobile market. We have seen a lot of your competitors are going into lower-tier cities. What's your view on this and its impact on the industry? And I believe that Xiaomi has done very well in this area. So apart from the continuous improvement of technology and what are the thoughts do you have? And number two, is on central air conditioner, you are doing very well. In addition, we can also see that for Central AC versus our old channels directly selling to customers and this is to business, which might be slightly different. But of course, either it is to be what you see, we know that your ability to have products taking up the market is very strong. So I want to ask whether you have any thoughts on the 2B business development in the future.
Lu Weibing: Yes, to be and it is very important to us, which is why we have worked very hard in intelligent driving. You can also see that on a monthly basis, and we will some updates regarding intelligence driving. And English and in addition, we can also see that some of our peers, they have gone into the lower-tier markets. And we believe that this is a great thing for the industry and for the pre-evidence of intelligent driving and to bring it to the lower-tier cities, so that people can enjoy this and people can experience this. So we also hope that going forward, Xiaomi's intelligent driving product can do very well. And we can see that this is development and please be a bit patient and you will see that we will perform even better. And in terms of 2B and the Central AC and so far, at the moment, we believe that the market is big enough. This market used to be untransparent. And when Xiaomi enters in, we provide the market with a good product good quality. In the meantime, our service has become a very transparent I believe that you all have experiences, while you are renovating homes and there is a lot of obscure going on. And I believe that for any sector that Xiaomi enters in, we are able to change the market before Xiaomi entered into the market and people often would assume otherwise, however, we can see that through Xiaomi's innovation in terms of products and models we are able to grow. So for central ACs, I believe that there is a huge room. There is a great potential – and we do believe in the space for further growth in this area.
Operator: Great. This concludes today's call. Thank you very much for your time. We hope that you will continue to support Xiaomi in the future. Thank you very much. Thank you, everyone. Goodbye.